Operator: Good day, and welcome to IAC reports Q4 2013 results conference call. Today's conference is being recorded. At this time, I would turn the call over to Mr. Jeff Kip, CFO. Please go ahead.
Jeffrey Kip: Thanks, operator. Thanks, everyone, for joining us this morning for our fourth quarter 2013 earnings call. It's a beautiful morning in New York City. Joining me today is Greg Blatt, Chairman of the Match Group; and Joey Levin, CEO of our Search & Applications business. Before we get into our results, outlook and general business review, I'd like to remind you that during this call, we may discuss our outlook and future performance. These forward-looking statements typically may be preceded by words such as we expect, we believe, we anticipate or similar statements. These forward-looking statements are subject to risks and uncertainties, and our actual result could differ materially from the views expressed today. Some of these risks have been set forth in our fourth quarter 2013 press release and our periodic reports filed with the SEC. We will also discuss certain non-GAAP measures. I refer you to our press release in the Investor Relations section of our website for all comparable GAAP measures and full reconciliations for all material non-GAAP measures. With that, let's discuss our results. IAC had another strong performance in the fourth quarter of 2013. Adjusted EPS grew 48% versus the fourth quarter of 2012. Adjusted net income was up 38% and OIBA was up 10%, our 19 straight quarter of double-digit consolidated OIBA growth, despite a challenging few months for our Search & Application segment. Consolidated revenue was down year-over-year, but would have been up excluding the restructuring of CityGrid and the restructuring and sale of Newsweek. For the full year in 2013, IAC grew revenue 8% and OIBA 21%, our fourth consecutive year of 20% plus OIBA growth. Match closed up the year well with 12% revenue growth and 21% OIBA growth in the fourth quarter in line with our expectations. For the year, Match grew revenue 10.5% and OIBA 16%. And as Greg will discuss, we expect Match to have a yet better year of growth in 2014. Although, as is typical, our quarterly growth will be uneven. Also as expected, Search & Application's revenue was down in the fourth quarter versus a year ago, approximately 7.5%. This was modestly below what we thought, but our margins were better than expected, as we quickly optimized our market into efficient levels following the CPC changes that hit in September. For the full year, Search & Application's revenue and OIBA were up 9.5% and 17% over 2012. Looking ahead into 2014, we expect Search & Application's to grow revenue and OIBA modestly with some quarterly differences in growth. Today, we expect segment revenue enquiries to be somewhat down seasonally in the first quarter versus the fourth, before acquired revenue and to then build sequentially from there. We expect margins for the year to be just under fourth quarter 2013 levels with first quarter margins in the high-teens percent on a significant increase in marketing then rising through the year. The Local, Media and Other segments combined signed OIBA loss of $7 million in the fourth quarter, finishing the year with $630 million in revenues and approximately $21 million in total OIBA losses. Excluding CityGrid and Newsweek, both of which were restructured in the latter, which were sold, these businesses grew revenue 22% in 2013. We expect revenue growth to accelerate in 2014 led by Vimeo. And we also expect now to expand investment across these segments, with a significant portion, perhaps half, of the total happening in the first quarter. I'll get into a little more detail later in the call. Right now, I'd like to turn the call over first to Greg to discuss the Match Group businesses. And then to Joey, who will cover the Search & Application segment. And then I'll come back and wrap up.
Gregory Blatt: Thanks, Jeff. In February '09, we announced we were getting out of our European dating business to focus on growing Match in the U.S. Five years later, we've come full circle, completing our tender offer last Friday to buy in the public minority of Meetic, a clear European market leader. In the interim, we succeeded in growing Match.com U.S. as intended, but also managed to expand across the globe, across devices, across business models and to institutionalize a set of practices, processes and principles that have allowed us to do these things successfully. We're now the unquestioned global leader in dating, and in 2013 with 30 million active users and 3.4 million paying subscribers, up 500%, 150% since that time five years ago. Our current Match results are solid, with revenue, PMC and OIBA growth coming in at 12%, 19% and 21% respectively. And our long-term outlook hasn't changed from last quarter. Performance should be strong both for 2014 and beyond. Our diverse portfolio of services, features and business models, increasingly allows us to meet each customer's product and price preferences in an optimal fashion, which should enable prolonged PMC expansion on a consolidated basis and rate increases across our various business lines. This should serve as the foundation for long-term strong double-digit growth rates in this ever changing space and it is changing fast. A couple of examples. First, adoption. In our current U.S. single survey, one-third of respondents said their most recent first date was with someone they met online. More than 50% higher than next biggest source of first date, which was meeting through friend. More than a-third of all relationships began in the last year started online, up from 20% in 2010 and 10% just a few years before that. Meeting online is now an inherent part of people's lives and drumbeat will move in extremely forward for the foreseeable future. Second, it's a category that is written in the mobile transformation as well or better than any other. At Match.com U.S. 50% of all communication sent between members were sent from mobile devices. At OkCupid, the number was over 60%. In 2010, these numbers were in the single-digit and we're just scratching surface here in terms of optimizing for geo-specific features, customer acquisition to mobile channels, et cetera. Some of our other businesses like PeopleMedia and Meetic aren't quite as far along the trajectory. Some like Tinder are further. But 2014 is full of mobile product enhancements across the board, which we expect to lead to even greater engagement and customer acquisition. I mean, overall portfolio perspective for reaching the world through device agnosticism, offering the best experiences regardless to the device you want excesses them through. These changes and many others have created the opportunity for our portfolio approach to drive. Just take our developing business line as a representation. In 2014 we expect developing, that contribute almost as much profit as Meetic. In 2010, developing lost money. So this group of business is growing 50% annually from nothing a few years ago. And it's not a big investment baby with the hope of a profitable business model somewhere down the line. It's growing well, simultaneously contributing meaningfully to the bottomline. So in just four years, we've rated on top of the growing subscription business, this new engine of profit growth, fueling the combined entities increasing growth rates and changing the profiles of business. We're confident this combination will drive sustained growth well into the future. I should point out that Tinder, the new mobile-only product, is included in developing only as a negative contribution, bringing down the earnings without contributing to the revenue growth. So in some ways this is all understated. Tinder is still very much in investment mode. And we haven't fixed on the timing or exact nature of the business model yet. It's a dating product that has taken off as fast as any I can remember. Right now, we're focused on doing the things necessary to make sure it takes route in an enduring way, but if does, we believe it can also be a meaningful contributor down the line. Turning back to the numbers. For full year 2014, as we said in last call, we expect to see revenue and OIBA growth exceeding 2013 rate, with PMC growth yearend-to-yearend slightly lower. On a quarterly basis, similar to 2013, we expect Q1 to be our weakest quarter on all fronts, just to a confluence of unrelated factors. Some of its the timing of certain marketing, some is early work on our dynamic pricing, which will ultimately bring rate up, but is pressuring it down at the outset. And a big part of it is that we working with our Yahoo deal, which has reduced volume into our acquisition funnel substantially, and we'll feel the biggest impact there in Q1. So we expect Q1 to see revenue growth skipping into the high single-digit or to being roughly flat and PMC growth being low teens, with each of these increasing in remaining three quarters, netting to actually be the best year Match has had in a long time. I also wanted to hit briefly on the Match Group concept and the businesses in it. We think the practices, processes and principals, which help drive dating performance across multiple brands and business models, can do the same for certain other online services with similar characteristics. Tutor and DailyBurn are first in the play. The number one priority in each businesses independent path, with over the coming months will be increasingly faster in collaboration across businesses in ways we think where we've made long-term benefits. Both of these businesses are early stage and we're investing in both, we put approximately $15 million into the two together in 2013 and plan to expand that investment this year. For 2014, Tutor is focused primarily on getting the offering right. This business has historically sold its service to institutions like municipal libraries and universities, and conversion to a consumer focus takes some time. But I'm confident as we roll into 2015, we're going to be having some very exciting conversations about where it's headed. For DailyBurn, 2014 is about proving out its unit economics and starting to grow customers, while simultaneously trying to expand its lead in the streaming fitness area. Its prime season for them, post holiday, and so far it's been going really well. In these early stage businesses, it's hard to predict ways to growth, but we're hoping to increase paying users by as much as 100,000 this year between these two businesses. Overall, we're really excited about the Match Group. We're starting in three huge categories, dating, health and fitness and educations. These are all areas, where consumers look to make a difference in their own lives or those with their family, where quality and trust matter. And when you can deliver on that quality and trust, people are willing to pay top dollar and stick with you for a long time. We think opportunity continues to abound in dating and that we're just beginning to scratch in fitness and education. So we're expecting a lot of growth and energy going forward in this group. With that, I turn it to Joey for his thoughts on Search & Apps.
Joey Levin: Thanks, Greg. It's a pleasure to join you all here on this call. I'd like to take this opportunity to thank all the employees across the globe working in the Search & Application segment for their hard work in 2013. We saw a share of volatility over the course of 2013, and we took every change in stride. We absorbed pricing hits, adjusted our practices to accommodate changing policies and still posted a year with almost double-digit gains in revenue and 17% year-on-year growth in all. Q4 in particular was a true testament to the strength and resiliency of our team. And we almost immediately resumed sequential growth, after the pricing reset discussed last quarter. And that track record has given us the confidence to put more capital to work here. With our recent acquisition of Investopedia and the other assets from ValueClick, I think it's worthwhile to spend a few minutes on our current strategy for the content properties and where we're headed with these sorts of acquisition. In the ValueClick deal, we acquired high-quality content sites at healthy cash flow at around 5x run rate pre-tax income, which I consider very attractive, both strategically and financially. We now have a significant portfolio of high-quality content properties in addition to Ask.com, and includes About.com, Dictionary.com, Investopedia, Urbanspoon and others. Combined, the profit generated by sites other than Ask, now exceeds the profit generated by Ask within our Websites Group. While each of these content properties, et cetera, they generally share which is a predominant portion of traffic coming from resources, anywhere from 30% to 60% of traffic for mobile and tablet, and the mix of ad revenue sources that includes Search sponsored listing. With our distribution and monetization platform, I think we have a unique ability to buy, build and run these properties and we'll continue to seek out more opportunities in this category. The latest additions, principally, Investopedia and PriceRunner, both have a nice and steady source of free traffic driven by compelling content in their respective categories and geographies. We see clear opportunities to improve monetization and we'll also be able to reinvest some of that upside into the product to set it up for future growth. We're essentially working from the play book we assembled over the last year with About.com and see a lot of similarities as we have begun integrating the acquisition. Looking back on About.com, we've advanced a lot over the past year. Step one, was the change to monetization, which I think we've done well. Within a year, we have revenue per page up close to 20% over pre-acquisition levels by consolidating About.com under our monetization infrastructure and by deploying best practices in page layout and optimization tools. Step two, was to bring incremental audience to About.com between profitable marketing efforts we've initiated at About and traffic we've sent from Ask and other internal properties, we're now sending 30 million pages to About.com on a monthly basis, that simply didn't exist before. We've confirmed our belief that we can drive audience to these kinds of properties and all of that contributes to growth with revenue now up over 35% since we bought it. Of course, underlying all this, we've revamped About technology and brought in an almost entirely new team under the leadership of Neil Vogel, and we still have a lot yet to do. So I'm pretty excited about what we've accomplished there and the potential looking forward. I'd like to see a similar trajectory with the assets we brought from ValueClick. And all of these properties continue to help improve the user experience at Ask.com by providing proprietary access to great content that integrates nicely with our Q&A Focus. At Ask, we grew queries 25% in 2013 over 2012, while navigating the advertising changes in October 2012 and the pricing changes we saw in Q3 2013. With those issues behind us, the sequential outlook for 2014 looks strong. In just a few months, we've refined our product, adjusted our marketing efforts and have returned to sequential growth based largely on the fundamental value and access approach on Q&A and to the degree to which our brand resonates strongly with consumers. Our marketing is also starting to succeed on longer-term brand objectives, with the percent of users who say they visit Ask because they want to ask a question, up 22% year-over-year according to our surveys. We've continued to make strides from a product standpoint in terms of increasing relevance and authority as we grow our proprietary Smart Answer coverage, up 40% year-on-year. And we've advanced our international product with 27 sites now across 14 languages. We have a nice sized business in Japan and promising start elsewhere. We've also successfully shifted more and more of our marketing spend in the U.S. away from agencies to direct, which gives us more control over the user experience and should also improve margins over time. So in 2014, for Websites overall, I am very pleased with the direction of our product is headed and our ability to drive growth. We've cleared some bumps in the road and we expect to grow sequentially every quarter from Q1, driven by improved product, more efficient marketing, and mobile, where we're seeing nice traction. Mobile now comprises 40% of our page views in Websites overall, up 30% year-over-year. I'm also pleased with the performance of our Application business in 2013, especially considering the policy changes, which shifted the market in 2013. We grew our query 15% for the year and our revenue 8% in the face of these changes, led by our Owned and Operated B2C business, which has strong double-digit revenue growth. We were able to grow Applications revenue sequentially in Q4 coming out of the policy changes and expect to do so throughout 2014 as well, largely on the strength of the B2C. International markets have been a big key to our growth as well, driving over two-thirds of our revenue growth in 2013. We continue to see big opportunities to spend marketing dollars efficiently leading to accelerating growth, so we will continue to see those incremental opportunities where we can find them. That will lead to tighter margins in Q1, but we'll see the benefit of that spend throughout the remainder of the year. We have not had yet seen a break in the B2B competitive environment, but we continue to be optimistic that our position as the quality partner of choice will give us the platform for growth there as well. So again, the changes in 2013 reset our base line and led to lower nominal growth for the year, but we are now growing nicely in 2014. So entering 2014 for the segment overall, we have a strong and growing portfolio of branded content websites with significant mobile traction. We will have Ask growing again sequentially and we believe the opportunities exists to add more high return acquisitions. We also have an Applications business generating significant cash flows, which we expect by the back half of this year to return to healthy year-on-year growth. Thank you.
Jeffrey Kip: Thanks, Joey. We obviously feel that both the Match Group and our Search & Applications business is positioned well for growth in 2014 and are investing accordingly earlier in the year to drive full year results. As I noted previously, the Local, Media and Other segments combined had $630 million in revenue and approximately $21 million in total OIBA losses in 2013. The three segments are made up of several smaller businesses that we believe have a great deal of promise. Greg gave you commentary on the two businesses moving to the Match Group, Tutor and DailyBurn and the investments we're making there. We also expect the investment across the remaining Local, Media and Other businesses to be in the low double-digit millions of dollars in aggregate in 20014. I'll now touch on a few of the businesses in the three segments. First, Vimeo has tremendous momentum. Unique viewers are up nearly 60% year-over-year to a $130 million in December, and mobile viewers grew nearly 200% in 2013 and are now nearly 45% of all unique viewer. We've seen unique viewer growth rate accelerate through the year on both desktop and mobile. Vimeo became the number two dedicated video sharing property to YouTube in the quarter, passing both Yahoo! and Dailymotion for total viewers. Vimeo's global video sharing platform is differentiated from other category leaders, because it offers, creators of all level, simple, professional quality tools to share HD video in a secure, uncluttered environment with zero pre-roll advertising. The Vimeo platform has attracted a broad group of quality-minded creators who have uploaded a significant and growing catalog of impressive independent content, which in turn has attracted a very large and rapidly growing viewing audience. Vimeo's only starting to realize the opportunity it has with its audience through Vimeo On Demand, which allows creators to offer paid content to viewers directly without any advertising. Vimeo On Demand has nearly 5,000 titles at yearend and that number will grow. We also expect to continue to invest in this space. Also in Media, Electus enjoyed a year of tremendous revenue growth and we recently integrated Electus and CollegeHumor together under the same management and are excited about the potential of the digital business there. Daily Beast readership also continues to grow significantly, reaching an all-time high in January with approximately 16 million unique visitors. In the local segment, HomeAdvisor had a difficult year from a financial standpoint in 2013, while we're very happy with the re-branding and the improvements that have been made to the consumer and the service professional experiences and we've seen a rebound in the business. Lead acceptances improved sequentially in the fourth quarter. Our service provider network has grown for two consecutive quarters and our service request grew year-over-year in January for the first time since 2012. HomeAdvisors is now enrolling it's network members in the subscriptions plan and after a little more than a quarter full roll out, nearly 20% of all SPs are members, driving improvements and satisfaction, retention and life time value. Our TV advertising delivered impressive ROI in 2013 and will expand those efforts significantly in 2014, meeting the solid topline and significant bottomline growth in the year. We're well over $200 million in revenues in 2013. HomeAdvisor is a significant player in its market as any competitor and we think it has real potential going forward. Let me conclude briefly with our use of capital in the quarter and then we'll take your questions. Our priorities remain the same as they have been. We want to deploy capital in high-return or high-growth acquisitions and investments, look for add-ons to existing businesses such as the recently closed ValueClick acquisition and the Meetic minority buy-in and in new businesses with great potentials, such as our recently increased investment in Aereo. We also will continue to buy-in our shares opportunistically. We completed $96 million worth of buyback in the fourth quarter at a price of $58 in a quarter per share, capping a year in which we repurchased $229 million worth of shares at $50.63 per share. Finally, we'll continue with our dividend policy under which we are currently paying $0.96 a share, we paid out a total of $79 million in 2013. All in all, we returned over 95% of our free cash flow to shareholders in 2013 with an additional over $300 million in acquisitions and investments, including Meetic and ValueClick. Thus we used nearly two times of our free cash flow in acquisition buybacks and dividends combined. We continue to see many opportunities to deploy capital affectively, plus we also raised an additional $500 million of debt in the fourth quarter at a very attractive rate. With that, let's take your questions.
Operator: (Operator Instructions) We'll go first to John Blackledge with Cowen and Company.
John Blackledge - Cowen and Company: Just a couple of questions. In total, the 1Q '14 guidance is lower than current estimates, but summing up the full year guidance, it appears to be roughly in line with 2014 expectations. Just wondering if you could discuss further the impact of ramping marketing spend and other factors driving 1Q '14 guide and how you see the trajectory of the difference business is shaking out over the course of 2014? And then just on core Match revenue growth, 4.5% decelerated a bit from 3Q. Just wondering if you could give some color on the drivers there? And is that $500 million EBITDA forecast for total Match in 2016 is still intact?
Jeffrey Kip: Why don't I take the first question, and I'll let Greg take the second question and chime in on my answer, if he needs to as well. Look, in the first quarter we are ramping marketing significantly in Search, particularly in our B2C business, which will drive profit for the full year. And I think as Joey noted, we're going to see sequential growth through the year in that business, not just in revenue, but you're going to see the margins build through the year, as we expect. Similarly, with Match, we're ramping marketing significantly in the first quarter for the same reason. The first quarter is our biggest opportunity generally. So we'll put marketing up there, which shall bring OIBA flattish. And then we have other businesses in Local, Media and Other, HomeAdvisors doubling it's TV year-over-year, and there is other businesses such as Vimeo, DailyBurn et cetera, which we'll market heavily in the first quarter, which is why so much of the investment in the Local, Media and Other business will be in the first quarter. So net-net, you're going to have to Search down, Match flat and you're going to have significant incremental investment in these other businesses, but they're all building profitability, which will come back through the year.
Gregory Blatt: On the Match question, in terms of the revenue at core, the revenue growth is really a factor of rate and rate is basically a mix of package mix changes and actual pricing. So rate in core was down, a little more than 4%, I think Q4-over-Q4, and about 60% of that came from the extension to longer-term package mix. That's something we'll do all day long. There is no marginal cost of delivering a subscription for us. So we basically manage to lifetime contribution. And package mix, when you extend out the package mix, even though you bring rate down, you increase cash collected by customer over lifetime. So to the extent we could do that all day long, we do it. I think the rate, at which that has been happening, is going to slow. So I think that that effect is going to sort of dwindle off over the rest of the year. The other 40% of that rate decline really comes from pricing, and we've talked a lot about sort of our strategy to dynamically price. And then if we price, I mean both pricing down and pricing up; pricing down tends to happen to identifying cohorts of customers that if you lower price a little bit in some ways would join and otherwise would not, targeting them specifically and giving them offers. Pricing up tends to be through additional features, add-ons and enhanced subscription. So it just so happens that in this overall strategy, some of the changes we're doing that price down have happened first, because you have to build the features and everything else over the course of the year. So I think that while rate is down in Q4, our pricing is down in Q4 and we'll sort of extend into Q1 a little bit, which is part of the softness for Q1, by the end of 2014 we think core rate will be back up and even above sort of where it was. So I think those are the big factors driving the revenue slowdown as against PMC growth. Again, we think that will extend a little bit into Q1, and then will reverse itself over the course of the remainder of the year. In terms of the $500 million I cited last quarter, I think our outlook remains the same. I think what I said then was not so much of forecast as much as a good way to look at the business. We basically said that if our sort of businesses that have a non-traditional subscription paywall, call it OkCupid, Twoo, Tinder, some other small that we're starting. I think my exact math was over the last 12 months they'd effectively doubled their users and doubled their conversion rate. And if over the next three years they did that again, which we think is a reasonable assumption, you'd get around $120 million of OIBA. And then if you then took the rest of the businesses and grew them sort of low-teens a year, you get to $500 million. That math obviously continues to be true. I think it continues to be a fair way to look at the business, whether we end up at $479 million or $526 million, its three years away, it's hard to tell. But the momentum is very strong and we are bullish on sort of both side of the business. So I think it continues to be a fair way to look at the three-year opportunity.
Operator: We'll go next to Jason Helfstein with Oppenheimer & Company.
Jason Helfstein - Oppenheimer & Company: Three questions, first, Joey. Can you talk about Google's most recent announcement about to not have any multi-use toolbars in Chrome, when does that start? Does this apply just to Chrome or the Chrome app store? And then basically if there any impact on you guys and how you're thinking about it? Second question, this is obviously the first call since the management reorganization, if there is just any commentary around that? And then the third, just more housekeeping. How should we think about the impact to CityGrid and Newsweek in 2013 with respect to Local, Media and Other and the timing of your investments in some of the earlier stage businesses? I think you alluded to some spending, but just a little more detail, so we can think of the comparison?
Joey Levin: On the Chrome question, we don't think the multi-use toolbar in Chrome announcement applies to us. With these things change frequently and browsers are always making changes that we deal with, I am not expecting that one specifically to affect us.
Jeffrey Kip: In terms of the housekeeping, if you think about CityGrid and Newsweek, it was probably in the first half of last year in Local, $40 million of CityGrid revenue that is not there in the comparison in Local. And in terms of Newsweek, there is about $20 million of revenue that was from Newsweek, specifically in last year that you sort of take out to do an apples-to-apples comparison. In terms of the investment across Local, Media and Other, as I said, I think we'll probably get roughly half of the total. Greg commented on Tutor and DailyBurn, I said kind of low double-digit millions in the rest. And I think we'll probably get half of the total in the first quarter, and spread evenly as to the rest of the year, if you want to think quaterizing those segments.
Gregory Blatt: I think just in terms of the management sort of reorganization, I think really when you look back over the last few years, we simplified the structure at IAC a lot. When I started as CEO, we had something like 14 different business leaders reporting in to me, that was dramatically consolidated, both Sam Yagan on one hand and Joey on the other. That put a lot less pressure on sort of the CEO role and created some real organizational flexibility. And I think when we looked out over the next few years, we saw lots of opportunity everywhere. But I was particularly enjoying the opportunity to work more closely with Sam sort of building on the success we've had in the dating, both within the category and expanding it into these other sort of highly personal high-value categories. So as we talked about it, Sam and I work really well together and share the vision for what sort of that group of businesses could be a few years down the road. And frankly, it was a combination of where we thought sort of I can create the most value and frankly doing what I like doing the most. And Sam is a lot more fun to work with than Joey, so it all came together in a thing that I think is going to create a lot of value going forward.
Operator: We'll go next to Ross Sandler with Deutsche Bank.
Deepak Mathivanan - Deutsche Bank: This is Deepak on behalf of Ross. Just two quick ones. First on the Search business, you've been adding a lot of assets to the Search business. Just wanted to ask about, how the new profile would like with the addition of these ValueClick assets for the RPQ side. I mean is it similar to how it would be with the addition of About.com or is it going to be something different? And then secondly on Tinder, can you give us some scope and maybe some KPI-related metrics compared to some of the other businesses for Tinder, like maybe users reach in terms of the country, et cetera?
Joey Levin: On the ValueClick acquisition, yes, I do think it's reasonable to think of it's similar to About.com in terms of RPQ and in terms of strategy, in terms of how we will operate and grow those businesses. We're really trying to develop a diversified portfolio of high quality content site. And we're finding real opportunities there in terms of acquisitions. We've been buying them I think at relatively attractive prices and we've seen real synergy value in that. And again, I think that ValueClick will be or Investopedia and the other assets I think will be right of that mold.
Gregory Blatt: With respect to Tinder, look Tinder is still very early stage. It just had its one year birthday really a month or two ago. I think it's got great momentum. We're not breaking out stats, obviously, it's got a lot of traction in the U.S., Brazil, a number of countries in Europe, it's doing really well. We've got a great management team there. They function relatively independently. We try not to screw it up and trying to help them where we can. We've got a lot of ambition through the business, but it really it's early. And I think we're looking forward to 2014 being a year where it really takes hold sort of sticks, and once that is secure, I think there is a lot of opportunity to sort of layer in various forms of monetization. But it's still very early.
Operator: We'll go next Peter Stabler with Wells Fargo Securities.
Peter Stabler - Wells Fargo Securities: So I guess first of all just wanted to follow-up on John's question earlier. Greg, thanks for the additional color around dynamic pricing and the benefit to cash collection on the migration to a lot of your contracts. But I guess stepping back on a reported revenue basis, we're wondering whether the core business, whether you would expect the core business to post better results in '14 than '13, given the fact that some of this pricing pressure due to mix shift might be easing. Is that something that you're comfortable with sharing with us? And then secondly, we're asked a lot about the desktop business and the defensibility of toolbars, I'm wondering if you could provide an update on your thoughts there?
Gregory Blatt: Again, on the rate at core, we expect the core rate to increase throughout the year. So I think all of it will be comparable to last year. I think in the core business, we're expecting relatively comparable performance in '14 over '13, maybe a little stronger overall. So I don't think there is any particular trend here in pricing. I really do think it's sequencing of why we rolled out various things. We don't manage quarter-to-quarter, as I've talked about before, we sort of try and optimize for the long-term. And we've got a product roadmap and there are some things that just make sense to do earlier than later, because of how they fit into 10 other things. So I feel good about the core. I think that overall '14 will be comparable to slightly better than '13. And I think overall, as I said, Match's results will be stronger in '14 than they were in '13.
Joey Levin: The questions was a little bit on, I think the key word of that question, what was the second question?
Peter Stabler - Wells Fargo Securities: I'm sorry, about desktops, and if you could just give some updated views, Joey, on the toolbar business and the desktop products?
Joey Levin: I think reports of our desktops have been greatly exaggerated there. We think about this as, for many years we've been in this business, for many years it has been sort of a next big thing threatening that business, and we adjust. We have systems team, technology. We adjust to a changing marketplace. And so we feel pretty good about the outlook on that business from here. When you think about the market that we're in there is nearly 2 billion desktops worldwide. And we have at that I think a mid single-digit market share of that. And no matter what do you take on where that marketplace goes, even if you view that marketplace is declining way more than anybody else, would say the desktop market is declining. In five years by any measure there is a 1.5 billion desktops build. So when you look at our share, it's still very small. And we've historically been going through that and we'll continue to grow through that. So we don't really see any of these things meaningfully impacting the business. So we feel pretty good about this.
Operator: We'll go next to Mark Mahaney with RBC Capital Markets.
Mark Mahaney - RBC Capital Markets: Just a quick question on Tinder. And your visibility into when you'll figure out the monetization of that? Is there anything that makes you believe that you will have settled on that monetization strategy this year? Or do you want to be open-ended about when you would actually start monetizing the asset?
Gregory Blatt: I have no doubt that we'll begin to monetize it this year, but that may well be through various tests and other things. I think it is not a particular objective of ours to generate meaningful revenue from Tinder in 2014. So while I'm sure there will resources on it, we will be playing with a variety of different things, I would not expect any significant revenue contribution in '14. And we really have the luxury of getting it right, because everything else is really doing great. And I think that right now our focus is really on making sure that it sort of cements itself. And I think that when it does, I think the money is not going to be hard to find.
Operator: We'll go next to Nat Schindler with Bank of America.
Nat Schindler - Bank of America: Two quick questions, and I know this has been probably done to death at this point, Greg, but just going to your $500 million three-year target for EBITDA in Match or Personals, how much of that is really reliant upon Tinder being a really -- how bigger contributor is Tinder to that, as you begin to monetize it? Secondly, can you go a little bit more into the Websites growth, which maintains on a query basis, rather significant growth, which is hard to match up with any outside data sources? And I'd love to hear some of your reasons why you think that might be the case. And additionally, it also seems to contradict, kind of the basic thought is that most growth in queries, at least, on internet search is coming from mobile devices where you are admittedly weak. So could you help me understand that a little bit better?
Gregory Blatt: On the $500 million question, I think we've got a lot of properties and so we can get to that $500 million in a variety of ways. I think that, as I said, the math I did had, sort of the historic business is growing very low-teens, the extent that they grow mid-teens, then you Tinder it off to get there to extent they grow less, you probably do. So I think that there is a whole bunch of things. As I said the development line with Tinder is a negative right now, is already a big contributor right now. And I think that that big contribution will continue to grow. So I think without Tinder you may get there. I think with Tinder, to the extent that it becomes a monetized thing in that period, I think you're much more likely to get there. I think you can get there with and without it. And I think that, look, Tinder, we're talking three years away, so the monetization will come at some point. And I think that it's safe to imagine that that will be probably before 2016. So I think all-in, we feel really good about it. And I think Tinder can play a big part in it, but it isn't necessary.
Joey Levin: On the Websites, I will start with the query growth. I actually have not been looking at the outside sources, I don't know, Jeff, if you have looked at those, and I can't comment relative to the outside sources. What I can say is number one, international is growing and growing faster. And that's going to be generally lower CPC. So you could have queries going faster relative to what you might see on revenue. And number two, with the CPC hit that we saw and we talked about last quarter; similar story, we are growing queries, but they are generally in lower CPC categories. So the query growth is there, but RPQ, relative wages would be down. On the mobile side in Websites, the mobile story, I think I mentioned this in my script, we have 40% of page views on our mobile, and that's growing 30% year-over-year, so the mobile story on Websites is one of growth.
Operator: We'll go next to Brian Pitz with Jefferies.
Brian Pitz - Jefferies: Few questions on Vimeo. Just wondering if you could walk us through the growth strategy and really balancing growth versus profitability? I know you mentioned ramping investment there. And then on the business model, can you help us think about the decision to limit advertising? And finally, if you just step back for a second, how would you rank the growth investment opportunity for online Vimeo and online video for the company in general?
Jeffrey Kip: I'll take the third question first. I am not sure that we really rank investment opportunities. We think Vimeo is a great business, that's growing really very well, but has a large addressable market, the quality product that people seem to love, and so we're going to invest in it. I think in terms of growth strategy, I think first of all, you've got a great product that people have loved using and we're going to continue to invest in the product, both on mobile and in desktop. I think secondly, the Vimeo On Demand product is growing in terms of its usage and you're going to see us looking to improve that library, and again, drive quality content to people there. Then thirdly there is marketing opportunity. Vimeo is not a business that's been marketed heavily or pushed, and I think we're going to think through how we market it and we will probably market it both on the subscription product side and on the Vimeo On Demand side. So I think there is a number of areas where we can keep advancing. And as I mentioned in my comments, its viewer growth is actually accelerating through the year. The rates gotten higher and higher as the years gone on, and finish the year at its highest point. And mobile is incredible. We tripled our mobile users in the year. So we think it's really exciting.
Operator: We'll go next to Heath Terry with Goldman Sachs.
Heath Terry - Goldman Sachs: I guess, Greg, to the extent that you can, how do you get confidence that what you're seeing in pricing is not, I mean, even within your own business, is not more than impact of the growth and free options like OkCupid and Tinder. And the fact that dynamic pricing is sort of, at least initially skewing to the down side, it's not going to be something that becomes more of a trend, given the way the market seems to be anchoring towards free? And then, Joey, I guess in terms, you mentioned, policy several times to the extent that you're comfortable that policy is somewhat stable. How do you feel about Google's enforcement or whether or not you'll see any additional enforcement in the areas, where IAC for whatever reason is at least outside of compliance with their printed policy around things like software?
Gregory Blatt: On the rate question, Heath, let me step back and try and sort of set the whole stage forward. So I think that in businesses like our core business, I think the dynamic pricing will price down and price up, and I think overall rate will maintain or increase over the next few years within those businesses. We have pretty high confidence level in sort of where the rate is going, and on sort of the responsiveness to pricing down in certain areas and then adding features and functionality that allow you to price up with others. And we feel pretty good about that. That said, we do think that overall business mix, just because of the rate of growth, sort of the developing businesses with the effectively lower rate, because those are growing faster than the other. Overall rate will come down for Match to consolidate the value over the next few years, just because of that mix. I think it's important to remember though is that as that's happening, we think margin will expand, because the products like Match that have higher rate also require marketing dollars. And so the net contribution from a user at Match is bigger than other businesses, but when you start getting to the marginal contribution for the marginal sort of subs acquired is not. And so I think that what you'll see is you'll see over the next few years, rate hold to increase in sort of the traditional businesses. Growth will continue at rates that are sort of somewhat historical as we talked about sort of the low-teens type rates. And the growth in the other businesses, which are lower rate, but higher margin will make on an increasingly a big part of the mix, which will sort of over the next year is probably, PMC growth will exceed revenue growth overall. And margin will expand throughout the business. And if you look at sort of over the last few years, we have expanded margin in Match and sort of every sector. I mean core margin is up, sort of almost a 1,000 basis points over the last few years. Meetic has increased since we bought it, developing, and sort of off the chart. And so we think that that the overall price changes are going to be net positive and the impact of sort of the free market is not to bring rate down in our sort of core business, but to bring rate down in terms of overall mix just because it's such a growing part of the segment. So we feel pretty good about that. We've been seeing the trend for a couple of years. And that's really what we think is going to happen over the next year. Joey?
Joey Levin: I'll start with I think the end of your question, then go back to the beginning. We're always compliant with Google's policies. We're complaint with our contract or anything we're doing any moment is going to be compliant. Now those policies can certainly change. We've seen those policies change over time. Look in 2013, we saw that volatility, which has Google looked at a lot of the things that we were doing and adjusted what they felt they needed to adjust. And so to some extent we feel good about that, but changes can always happen and we'll adjust with the changes. But we're going to be compliant with everything in place at any given moment. And the other thing that's important -- I think there is two other things important to call out. Number one, these things can swing both ways. With '13, they happen to swing more the other way. But in the past, whether it's, again, a browser change or whether it's a pricing change or whether it's something, these things can swing both ways. And we've been the beneficiary of some of those things too. The other thing is we have a portfolio approach in the Search & Applications segment. So we have a lot of businesses doing a lot of different things. And I don't see that one policy thing having the potential to affect all of our businesses at the same time. We deal with these things one at a time address them.
Heath Terry - Goldman Sachs: I guess, Jeff, just one follow-up question on the Search business guidance that you gave for Q1, is there an organic number x the ValueClick acquisition that you can guide us to in terms of, what we should expect to come from the Website and Applications business before you add in the contribution from About and ValueClick?
Jeffrey Kip: Well, About is now organic, right. We owned it last year. And I think what we said, we're going to be modestly down before adding acquired revenue in the first quarter on both queries and revenue in Website.
Heath Terry - Goldman Sachs: So modestly down with the addition of $0.5 million revenue from ValueClick?
Jeffery Kip: Excluding ValueClick. So with ValueClick, we're a sequential grower.
Operator: We'll go next to Kerry Rice with Needham.
Kerry Rice - Needham: I just wanted to stay with Search for a minute. I think Joey you had mentioned particularly on the Application side with B2B that the competitive landscape hasn't really changed much. Can you talk maybe a little bit more about that and do you see that kind of recovering at all through the year? And then the second question back to kind of ValueClick, as obviously you guys have a great track record driving growth in these sites like that you acquired from ValueClick. When you kind of start to see some incremental positive benefits that you can add to those properties? And then you called out Investopedia, I think PriceRunner is the other one, they had several others sites I think. Are you going to also maintain those or is that something that kind of falls by the way side over time?
Joey Levin: Kerry, just starting on the B2B market, it's really hard to predict. I think right now the folks, who moved over to Yahoo, have sort of settled in over there and our partners have settled in with us. And the folks of Yahoo seem to be competing successfully and that's working for them. And so I think it's probably good for the marketplace long-term in terms of being a viable competitive solution. We haven't seen dramatic changes in the advertising practices or the other practices that we've seen there. But we'll see how those things play out over the course of the year. It's really hard to predict the timing, whether those things change. But I do think our pipeline is starting to warm up a little bit there. In terms of ValueClick and those properties, we started working on it right away, and we hope to start to see results within a couple of quarters. And that's pretty consistent I think with what we saw in About. And in terms of the other properties, there is no plan to close or shutdown or change any other properties, but I do think that the mix of revenue, the composition of revenue and property will likely change over time. And we're still working through what that will look like. Now, that [indiscernible] I think are the biggest properties, and the biggest really ramps in that. But we're still working through what that looks like over time. But no, there is no plans to close or change any of those things right now.
Jeffrey Kip: And operator, I think we'll take one more question and then wrap up the call.
Operator: We'll go next to Eric Sheridan with UBS.
Eric Sheridan - UBS: Just two quick ones, both on Match. One, is there anyway to call out the impact on margins at Match that have been occurring because of the investments? Greg, you talked about Tinder and you've said that there is no revenue as we know. But calling out sort of core Match EBITDA and understanding sort of what the trajectory is around margins and EBITDA growth in the broader Match? And then secondly, a follow-up on the corporate reorganization question. Just trying to understand how the company is thinking about the pieces now that they are separated as to whether there could be further ways to create shareholder value by highlighting those businesses going forward?
Gregory Blatt: On the Match question, margins, there are certain limits to what you can disclose in certain ways. I think that the investments that we've made all in developing use to be a negative. So we've never really broken out in the past. I think that margins have expanded, again, across each of the three lines that we talk about. Over the last two years margins have expanded meaningfully. I think that what I would call separate business lines that have net investment have narrowed. Meaning, certainly Tinder there, a couple of international markets that are negatives which all fall into sort of the developing line. But the numbers are not big, they were not big in '13, they will probably get a little bigger in '14. And maybe as we refine our reporting on this, it will start to get into some of those numbers. But we're not getting into them now. I think that the core margins are by far the biggest, then you have developing and then you have Meetic, if you were going to sort of stack rank them, and all three of them are expanding. So that's really all we can say on margins now. In terms of sort of the reorganization and sort of value creation, I think I'll leave this to Jeff, but in general, we've separated them internally in terms of management, but they are still very much part of IAC. I think that IAC has always had a history of realizing value sort of when it thinks the right time to do so is. Obviously, we're doing things internally to create value, but in terms of realizing I think that will come when it comes. I think there is no schedule or timetable, we're not going to tell you that it's going to happen and everything else. When the decision is made we'll announce it and until then we're creating value within the structure, and I think growing real asset value across the line. Right, Jeff? Anything else?
Jeffrey Kip: I think that's absolutely right. And with that we'll end. Thanks everybody for joining us.
Gregory Blatt: Thank you.
Operator: This does conclude today's conference. We thank you for your participation.